Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to SeaWorld Entertainment's Third Quarter 2017 Financial Results Conference Call. My name is Andrea, and I'll be your conference operator today. All participants will be in listen-only-mode. Please note this event is being recorded. I would now like to turn the conference over to Mr. Mark Trinske, SeaWorld's Vice President of Investor Relations. Please go ahead, sir.
Mark Trinske - SeaWorld Entertainment, Inc.: Thank you, and good morning, everyone. Welcome to SeaWorld's third quarter 2017 earnings conference call. Today's call is being recorded and webcast live. A press release was issued this morning and is available on our Investor Relations website at www.seaworldinvestors.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me this morning are Joel Manby, our President and Chief Executive Officer; and Marc Swanson our Chief Financial Officer. On today's call, we will review our third quarter financial results and then we will open up the call to your questions. Before we begin, I'd like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities laws. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those forward-looking statements, including those identified in the risk factors section of our Annual Report on Form 10-K and quarterly reports on Form 10-Q filed with the Securities and Exchange Commission. These factors may be updated from time-to-time and will be posted in our filings with the SEC and made available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call, we will reference adjusted EBITDA and free cash flow, which are non-GAAP financial measures. More information regarding our forward-looking statements and reconciliations of these non-GAAP financial measures to the most comparable GAAP measures are included in our earnings release available on our website, and can also be found in our filings with the SEC. Also, after the conclusion of the call today, if you have any additional questions, please feel free to contact SeaWorld Investor Relations at 855-797-8625. Now, I would like to turn the call over to Joel Manby. Joel?
Joel K. Manby - SeaWorld Entertainment, Inc.: Thank you, Mark. Good morning, everyone, and thank you for joining us. Before I start, I wanted to take a moment to thank our employees for their extraordinary efforts in undertaking both preventative and recovery measures for our parks and animals in Florida and Texas. This quarter's severe and unexpected weather events had some impact on our results, but it would have been a lot worse without the deep commitment and dedication of our people, some who literally worked 24/7 to protect our animals and get our parks reopened as quickly as possible. Turning to our financial and operational results; first, I'd like to put this quarter's results in context. Absent the significant weather impact from the hurricanes, company-wide, our underlying results were largely what we expected them to be. As we anticipated, attendance in the third quarter continued to be impacted by a decline in overall domestic and international attendance, largely concentrated at our SeaWorld Orlando and San Diego parks. As a reminder, we define domestic attendance as guests outside of a 300-mile radius of our parks. SeaWorld San Diego was further impacted by a decline from the Southern California market. Also, as we forecasted and discussed in August, our attendance trends improved beginning late September and into October with our Halloween event series. We are committed to returning our business to growth through compelling products, enhanced pricing strategies, and new marketing and advertising. Over the last few months, we began implementing the targeted actions we outlined last quarter, to stabilize our business, and to drive sustainable growth, while continuing to advance the core elements of our five-point plan. As I noted last quarter, the data we had available to us indicated that one key element of our response to the decline in our domestic attendance needed to be an adjustment to our marketing strategy and spend. We recognized that we must continue to maintain sufficient awareness and share-of-voice in the national marketplace to highlight our exciting new rides and attractions, as well as a positive inspirational message about the SeaWorld brand itself. To that point, we finalized From Park to Planet, a new national advertising and marketing campaign that is specifically designed to address perception issues by conveying SeaWorld's commitment to helping to protect and save the planet's animals and oceans. From Park to Planet is already generating early positive feedback in San Diego, where we soft-launched in October. Specifically, when people watch Park to Planet and then an attractions-focused advertisement, we've seen the conversion rate to buy a ticket on our website is six times higher than when we just market our attractions. While this is a small sampling in a local market, we're very encouraged that Park to Planet's inspirational message is resonating with our consumers. Based on this success, we will launch a nationwide fully-integrated PR advertising and park activation plan in the first quarter of 2018, ahead of spring break and summer vacation planning. One of these new spots topped Ace Metrix's quarterly survey of breakthrough ads in the third quarter and was ranked as the single highest-rated travel ad in the history of the research group's hospitality database, which dates back to 2010, giving us further confidence in the potential of this campaign. They are great spots and so that you can see for yourself, we have links available on our Investor Relations website at www.seaworldinvestors.com. We encourage you to take a look. Beyond enhancing our marketing content and reach, we are frontloading our incremental advertising next year to coincide with a period in which most families make spring break and summer vacation plans. We are also employing weekly monitoring to obtain near real-time updates on customer awareness, so that we can evaluate the impact of our advertising messages and adjust quickly if needed. Following our work with a leading pricing consultant, we have begun implementing a good-better-best ticket and annual pass model across all of our parks to help simplify guest choice and encourage upgrades to the higher revenue products. Trends from these changes are very positive. Even with a higher season pass mix, admission-per-caps have increased in three of the last four months. In this quarter, we introduce a SOCAL pass in SeaWorld San Diego, which we modeled after a similar pass in our Texas parks where we were very successful in shifting guests from our Fun Card to a higher-revenue and higher-retention annual pass in 2017. Overall, initial 2018 pass presales are up high-single-digits versus last year, driven by increased unit sales in California and Florida. Our pass member base, a key metric for our Annual Pass program, is also up compared to the same time in 2016. Now, on our cost reduction efforts, we have made significant progress. We restructured our workforce in October, and we anticipate this will enable us to increase efficiency, reduce duplication of functions, and improve operations. We expect to redeploy some of these cost savings into initiatives that drive revenue growth and to offset the cost of increased marketing activity in 2018 without increasing overall expenses. With that, I'd like to turn the call over to Marc to discuss our financial results. I'll then return to give you a look ahead. Marc?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Thanks, Joel, and good morning, everyone. As Joel mentioned, company-wide, our results were largely in line with our expectations, absent the weather impact. As we expected, third quarter attendance declined primarily due to lower U.S. domestic and international attendance, largely concentrated at the company's parks in Orlando and San Diego. International attendance also declined in multiple markets with the majority related to the United Kingdom. Attendance from the United Kingdom declined by 28% in the third quarter of 2017, compared to the prior year third quarter and is now down 21% for the first nine months. As a reminder, historically, attendance from the United Kingdom represents approximately 5% of our total annual attendance. Latin America attendance declined by 11% in the third quarter of 2017 and is now down 6% for the first nine months compared to the same period in 2016. This compares to a decline of 35% the first nine months of 2016 versus the same period in 2015. During the quarter, we generated revenue of $437.7 million, a decrease of $47.6 million or 10%, compared to the third quarter of 2016. The decline in revenue results primarily from the decline in attendance. We generated net income of $55 million or $0.64 per diluted share, as compared to $65.7 million or $0.77 per diluted share in the prior-year quarter. Adjusted EBITDA was $172.3 million, a decrease of $23.7 million, or 12%, compared to $196 million in the prior-year quarter. Net cash provided by operating activities was $99.5 million compared to $147.1 million in the prior year third quarter. And lastly, our 4.93 times net leverage ratio under our credit agreement for the third quarter of 2017 was within the covenant limit, and we have zero drawn on our revolver. We are closely monitoring our debt leverage ratio and have been actively engaged with advisors to review financing options should an attractive market opportunity present itself or the need to address our debt arise. Our total revenue per capita declined to $57.52 compared to $58.18 in the third quarter of 2016. Admission per capita decreased by 1.4% to $34.82 and in-park per capita spending decreased by 0.7% to $22.70 compared to the prior-year quarter. The decline in total revenue per capita results primarily from the mix of guests, including a higher mix of season pass attendance and free promotional ticket offerings along with less barter revenue when compared to the third quarter of 2016. However, as Joel mentioned, looking at it on a monthly basis, we should point out that including the month of October our admission per capita have increased in three of the last four months. Earnings were impacted by severe and unexpected weather events in our Florida, Texas, and Virginia parks. In particular, Hurricane Irma in Florida, which caused park closures in Orlando and Tampa; and Hurricane Harvey, which caused park closures and travel disruptions in Texas, as well as weather impacts in Virginia. The combined impact of Q3 weather events resulted in 26 days of park closures this quarter, more than double the 10 days of park closures caused by weather in the same quarter last year. However, as Joel mentioned, through our team members' extraordinary recovery measures, we were able to limit the impact of the storms to approximately $7 million of adjusted EBITDA, and currently our 2018 attractions are scheduled to open as planned. Primarily as a result of these weather impacts, we are narrowing our guidance range. The low end of our guidance remains unchanged and the top end was lowered largely to reflect the impact of the hurricanes. So, as we noted in the earnings release, for the full year of 2017, we now expect adjusted EBITDA in the range of $280 million to $295 million. Please note that similar to the prior year, Q4 adjusted EBITDA will include $10 million in estimated cost savings related to our recent restructuring program. These estimated cost savings are a non-GAAP adjusted EBITDA add-back item only that does not impact our reported GAAP results. So, as Joel pointed to a moment ago, we are making solid progress on the expense reduction front and fully expect to achieve $40 million in net fixed cost savings by the end of 2018. Although we have had great success here, we are not stopping. As we noted last quarter, we have identified an additional $25 million in gross cost savings, which includes the actions we took in October to restructure our workforce. A portion of these savings will be spent on marketing and advertising. Now, I would like to turn the call back to Joel.
Joel K. Manby - SeaWorld Entertainment, Inc.: Thank you, Marc. Before I open the call up to your questions, I have a few closing comments. First, on the governance front, as you may have seen this morning, SeaWorld announced that it has appointed Scott Ross, Founder and Managing Partner of Hill Path Capital, to its board of directors. Scott will also serve on the board's revenue committee. SeaWorld's board of directors is now comprised of nine directors, eight of whom are independent. The board is an excellent blend of top investors, theme park industry insiders and executive-level experts in international business, public company finance and accounting, and marketing and advertising. We welcome Scott to the board and look forward to working together on behalf of all of our shareholders and other important stakeholders. And second, on the operational front, we remain confident in the fundamental attractiveness of our brand and our business. We continue to believe our five-point plan can drive growth by addressing reputational challenges and creating fun and meaningful guest experiences, while maintaining a sharp focus on financial discipline. During the quarter, we implemented the targeted initiatives aimed at addressing our challenges and we're seeing early signs of new momentum, with pass sales through October up for the company overall and significantly up in SeaWorld San Diego. And as expected, attendance trends have improved since Halloween events launched in late September. And as Marc explained, our cost savings are on-target for our $40 million net fixed cost savings goal by the end of 2018, and we believe the savings from the additional restructuring actions we took this quarter will more than enable us to fund the rollout of our new marketing and advertising initiatives with no additional growth in overall expenses. And looking to November and December, which typically represents less than 15% of our annual business, we have an exciting Christmas lineup that should enable us to finish the year on a solid footing. Rudolph the Red-Nosed Reindeer and friends will return to SeaWorld Parks after their popular debut in 2016 with expanded theme experiences for families to enjoy the Christmas spirit even more. We are continuing to prudently invest to ensure a regular cadence of exciting new attractions to create fun and meaningful guest experiences. Notably, we are making significant investments every year in Orlando over the next five years to attract more domestic customers. We believe this compelling product lineup, our updated pricing strategies, and our promising new marketing and advertising that are already generating positive response, all give us confidence that we're well positioned to improve performance in 2018. And longer term, we're on track with the development of SeaWorld in Abu Dhabi, we're reviewing locations across America for our new Sesame Place park, and we are continuing our evaluation work for the potential development of SeaWorld Parks in China. And with that, I'll open up the call for questions.
Operator: We will now begin the question-and-answer session. Our first question comes from Felicia Hendrix of Barclays. Please go ahead.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Good morning and thank you for taking my question. First, you did touch in the prepared remarks about the balance sheet, but I just wanted to kind of go back there, the low-end of the guidance, which hasn't changed. But it does imply a very narrow margin of error in terms of your covenants. So, I was just wondering if you could touch upon that for a second, please.
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yeah. Felicia, this is Marc. Sure. So, yeah, at the low-end of the guidance range we would still obviously be in compliance with our covenant, and we feel good about that. You're right. There is a – the cushion does narrow and when you get down into that $270 million range is where we would start to look to take some action. But I think what I can tell you today is, we have a lot of confidence in our guidance, and we have had a lot of conversations about opportunities that we have out there, and we're going to continue to evaluate those and perhaps take advantage of some good market conditions now. So, we have confidence that we're not going to have a problem. If we do start to trend towards having one, we have some levers we can pull.
Felicia Hendrix - Barclays Capital, Inc.: Thank you. And, Joel, just you gave us some commentary on some efforts that you're making with advertising and the momentum that you've had around the kind of fall holidays. And just, not asking you to make a lot of comments about next year, but I'm just wondering based on what you know today, based on what you're seeing, how confident are you that you can grow attendance next year? And would the attendance mainly be coming just solely from your Park to Planet program or from some other efforts?
Joel K. Manby - SeaWorld Entertainment, Inc.: Well, Felicia, great question. Good to hear your voice. We're very confident about 2018, not just the SeaWorld Parks, but our other parks as well. However, our focus is primarily on Orlando and San Diego. Those are the two places where we've seen the most attendance drop. We have very strong product coming in both markets with incredible marketing hooks. Electric Eel in San Diego; and then, Infinity Falls in Orlando, which is longest, tallest drop of any kind of water ride like this in the country, level 4 rapids. So, it's a very good marketing hook that will market well to domestic customers. On top of that, we have improved marketing and PR initiatives, Park to Planet, as well as we have a much stronger PR plan in 2018. And I'm very encouraged about the progress we're seeing lately on our pricing initiatives, and Marc touched on it briefly. But even with some barter issues that we had in one month, we are up last three of the four months in our admissions per cap, which we haven't done at all this year. And so, it's good positive improvement. And of course, our strong cost control, where we've shown great signs there. So between product, marketing PR, our pricing initiatives, and our strong cost control, we feel very, very well positioned to increase performance in 2018, and it's our absolute primary focus.
Felicia Hendrix - Barclays Capital, Inc.: Thank you for that. And just housekeeping, when you talked about the study that you were doing in the Park to Planet and how it increased the intent to buy a ticket, how much was that – was price – is there any price effect there or was it just – I'm just wondering how much of that was price-related.
Joel K. Manby - SeaWorld Entertainment, Inc.: On the test we did in San Diego proper, it was same price tickets, and it was a daily ticket, and literally it was a six times conversion rate. This is actual ticket purchases, I think, but stepping back for a minute, and I did not make this comment in the prepared remarks, our local attendance in San Diego is up double-digits on a day-to-day basis in October, and that's the strongest increase we've had all year. And we're very encouraged by that because the only difference in October was running Park to Planet, running a strong Halloween campaign. We had the exact same Halloween product last year in 2017. The only difference is how we are marketing and how we're establishing a better and stronger PR campaign, and we're up double-digits in October. Now, I'm not using that to necessarily predict exact outcomes for the future, but we're very, very encouraged because San Diego is the key part for us to turn, as well as Orlando. The good news is we've proven in 2017 we can turn a SeaWorld Park in a positive direction. Texas is a market that's going to be up. EBITDA is going to be up. Attendance is going to be up. So, with a good product, well-marketed, we've proven we can do it in Texas. And we intend with all of our effort and all of our energy to turn the other two SeaWorld Parks around. And once we show growth in 2018, it's really clear that the stock is undervalued in our mind, and we're going to – we're going to grow attendance, and we're going to grow revenue. And with our cost initiatives as strong as they are, the EBITDA will start to flow.
Felicia Hendrix - Barclays Capital, Inc.: Thank you.
Operator: Our next question comes from Michael Swartz of SunTrust. Please go ahead.
Anna Glaessgen - SunTrust Robinson Humphrey, Inc.: Good morning. This is Anna on for Mike. You spoke to the new marketing initiatives already driving a positive response and you spoke a little bit about how that's coming through in San Diego. Could you give any more color on that for maybe Florida as well?
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah, Anna. We have not started running that campaign. It was a soft launch in October. We are going to make it a national campaign. We have specific plans. I don't want to get too much in the detail for competitive reasons, but we are – we, as we said from a broad level, we are committing to $4 million in net cost reductions and we found another $25 million. A portion of that will go to national media that will help Orlando because where we're getting hurt the worst in Orlando is our domestic visitation and international. How we can address domestic is through our marketing spend, not only on Park to Planet, but a very broad, strong product offering advertisement that shows the breadth and depth of the SeaWorld product. What we're finding is some people just haven't visited SeaWorld, they don't know about all the changes and we need to show them the depth and breadth of what we have. And when we do, combined with Park to Planet, they're very excited about visiting. So, that's for domestic. On the international front for Orlando, we are working hard with our distributors to make sure our pricing is competitive. We are doubling down our efforts on our intercept marketing here, getting as many billboards as we can, working with local hotels to make sure we're the best ticket possible to intercept international customers when they do come. But we do think we'll have the most impact on domestic because that's where we can influence the most with advertising.
Anna Glaessgen - SunTrust Robinson Humphrey, Inc.: Got it, that makes sense. And then you spoke to just kind of housekeeping, The initial 2018 pass sales where presales were up high-single digits, that was for overall not just California, correct?
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah, as a company overall, we're up high-single digits, which is incredibly encouraging almost across the board. California, we're up significantly over – in low single or double-digits. We're solidly double-digits up in revenue and in ticket purchases in California. And at this point last year, we were obviously nowhere near that kind of performance. So, we're very excited about the way Electric Eel is marketing in that area as well as, of course, I've already pointed out the Park to Planet increase in San Diego proper of double-digit attendance growth in October.
Anna Glaessgen - SunTrust Robinson Humphrey, Inc.: Great. That's all for me. Thanks.
Operator: Our next question comes from Steve Wieczynski of Stifel. Please go ahead.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Yeah. Hey, guys. Good morning. So, Marc, I think you talked about the weather impact was about $7 million in the quarter, if I heard you correctly.
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yeah. So, $7 million and if you kind of – the way I would think about that is, we had the previous guidance, midpoint was $295 million, our new guidance midpoint is $287.5 million. And basically that difference between midpoint to midpoint is the $7 million from the weather. So, absent that weather impact, I mean, that's what drove most of our narrowing there.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Okay. And so going to that point, I guess, when you look at the attendance decline, which was close to 9%, is there any way to help us kind of understand how much of that 9% drop was weather-related versus kind of the slowdown in the – which you talked about in the release in terms of the domestic and international attendance?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yeah. No. I think the easiest thing you could do is kind of take that $7 million and kind of divide through by a per-cap and you'll get your number. But it's well north of $100,000.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Okay. Great. Thanks. And second question, Joel, I'm going to ask you, and I don't think you're going to – I actually don't think you're going to answer this. But obviously, there's been a lot of rumors out there about potential asset sales and things like that with your company. Is there any color you can kind of give us around that, or the way you view certain assets under your umbrella?
Joel K. Manby - SeaWorld Entertainment, Inc.: Steve, you're absolutely right. I can't answer that question. But you know that – you know I can't and we don't speculate on rumors or comment on speculations. So, all I can tell you is this board is very engaged and over time we have always looked at opportunities both on the buy side and the sell side and we always do that as a matter of order. And so you can be assured that this is a very strong board, very engaged board. We would handle anything like that in a way that maximizes shareholder value.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Got you. I didn't think you'd answer it, but I thought I'd try. So, final question, on the pass sales, that's pretty encouraging in terms of high singles, in terms of unit sales. Can you give us a little bit of idea in terms of what that looks like on the price side of things?
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah. Just it's – we try to price right now to get a solid 4% to 5% on our season passes and so that gives you a feel. We're up, though, in both units and revenue. So, it's not just a revenue play here. We're up solidly in unit sales as well. And I'm really encouraged. I think for all of you and all the analysts and investors, the really good news, as I said on the last quarterly call, the people who know the most about our product, who visit us the most, and including in Orlando where we have all the competitive pressures people like to talk about, we are still gaining share. We are doing really well with that 300 mile in customer who knows about our rescues, knows about the great company that we are. We need to make sure the domestic customers know that, they're aware of that. And to me, that's a marketing PR opportunity that we're going to take advantage of in 2018. And so, I'm really encouraged by those season pass sales.
Steven Moyer Wieczynski - Stifel, Nicolaus & Co., Inc.: Okay. Great. Thanks, guys. Appreciate it.
Operator: Our next question comes from Barton B. Crockett of B. Riley FBR. Please go ahead.
Barton Crockett - FBR Capital Markets & Co.: Okay. Hi. Yes. It's Barton Crockett. And I wanted to ask you a little bit about the Fun Card because you're talking about the growth in your season pass, but I think one of the questions has been that the Fun Card is an extraordinarily kind of cheap season pass and something that I think, Hill Path, in particular thought could be part of a re-pricing strategy. And you touched on it a bit in your comments, but I was wondering if you could talk about within your growth in season pass, what's happening to Fun Card, is that up or down? And a little bit more detail on how you see kind of migrating from that cheaper product to a more normal kind of season pass priced product over time?
Joel K. Manby - SeaWorld Entertainment, Inc.: Okay. I'll let Marc start and then I'll...
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yeah. I can. Barton, let me give you just some numbers and then Joel can kind of give you some more just kind of narrative. But I think one of the things we saw this year in 2017 is we did a good job in Texas of shifting people from the Fun Card which, you're right, is kind of a cheaper annual pass to a true annual pass that has benefits and has a higher price. And that's what we want to do. We want to shift people up. We did that in Texas this year and I think you're going to see us continue to do that at some of our other parks, notably California. But just a couple of statistics or one statistic, if you just look at our season pass deferred revenue, so just within our total deferred revenue, if you just break out season pass deferred revenue in June, at the end of June, we were only up $900,000 or basically 1%. At the end of September, we're up $2.6 million or 4.7%. So, there's a pretty big delta there in the right direction and a positive direction around season passes. So I'll let Joel add...
Joel K. Manby - SeaWorld Entertainment, Inc.: Marc hit the numbers, but you're right, strategically, we see the same opportunity that we – see the Fun Card is bought about 60% of the time by people who would also be willing to just buy a daily. And without getting into the weeds, the strategy is, the people who are willing to pay more for a season pass, give them that opportunity and wean people off that very inexpensive season product called the Fun Card, and we're doing that very successfully. And then the good-better-best then trades them up from that low-end season pass, which is close in pricing to the Fun Card, although still accretive to admissions EBITDA, and then we move them up the chain with increased offers. And that's the strategy. We're in the first phase of it in Texas this year, as Marc said, we've done it now in California, and we're going to be rolling it across the entire company. And there's incredible opportunity there it's – we are just at the beginning, and we see lots of opportunity over time.
Barton Crockett - FBR Capital Markets & Co.: Okay, and just to follow up a little bit though, is there – is the Fun Card up or is it down within this growth in the season pass that you cited?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yes, so I mean it would be down which is again part of the design. We want less of those and more season pass. So, we would take that trade-off because again, generally, your Fun Card is at gate price, and your season pass is going to be north of gate price by different multiples.
Joel K. Manby - SeaWorld Entertainment, Inc.: The other thing we should mention, Barton, is the season pass we primarily about – call it 75% of the time, we sell that as a membership where it's a 12-month rolling auto-renewal program, which we've had in place for years, but we haven't focused enough on it. And the renewal rates on that product are in the neighborhood of 50% of people renewing that, versus the Fun Card, the renewal rates are lower. And it's mostly because it's pay for a season. They don't utilize it as much. So, we see lots of opportunity, not only in admissions per capita, but in higher renewal rates and adding value to the product over time, which will drive revenue. So it's a very concrete strategy. We're in the very early stages, and we see lots of opportunity.
Barton Crockett - FBR Capital Markets & Co.: Okay. That's very helpful. Thank you guys.
Operator: Our next question comes from Tim Conder of Wells Fargo Securities. Please go ahead.
Timothy Andrew Conder - Wells Fargo Securities LLC: Thank you. Just a couple of quick questions here. Joel and Marc, thank you both for all the color. Greatly appreciated. A little bit more, though, any commentary on Canada? And then I guess, just if we zoom out and look at the international relative to domestic, how much, as you're looking into 2018 early on obviously, how much is stabilization of your international guests, which we would anticipate given currencies have generally stabilized versus the real push domestically? I mean can you – is it 75%/25% domestic versus international, any color there? And then, I'll come back with another question here.
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah. Big picture, we're planning for and anticipating stabilization internationally, but we want to grow domestic attendance. The strength of the U.S. economy, the strength of people's travel intentions, obviously, there's more low-hanging fruit there. But having said that, in no way do we want to indicate that we're not focusing hard on international where we can, but that's usually through strong distributor relationships, decreasing price or increasing basically their commissions, so they are focused on selling our tickets. And then, as I said earlier, strong intercept marketing in Orlando, so when they do come, we are front and center to get one of those days that are not already planned when they come to the market. But admittedly, that's harder – it's harder for us to influence international with the dollar issue and the strength of the U.S. dollar than it is the domestic attendance.
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yeah. And, Tim, specifically on Canada, I mean, as we mentioned in the remarks, UK is about 5% of our annual attendance. I mean, Canada would be around 1% or less. So, it's notably smaller, our two biggest international groups, obviously, are UK and Brazil, which are – UK being a little bit bigger than Latin America, I meant.
Joel K. Manby - SeaWorld Entertainment, Inc.: And just one more point of color. Yeah. The Brexit is, definitely as we anticipated and as we forecasted, an issue; United Kingdom is down double digits. But we are seeing positive movement in Brazil. We are definitely seeing stabilization there and actually been up single digits the last few months.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay. And then you gave some color by region, but just maybe a little bit more. So, if we look at the season pass sales, you said they were up double-digits in Southern California and then for the whole company, up high-single digits. Can you maybe parse Florida, the Florida market inclusive of Busch Gardens or if you want to exclude Busch Gardens, however you want to do it. And then the non-SeaWorld brands.
Joel K. Manby - SeaWorld Entertainment, Inc.: Sorry. I'm sorry. Barton (sic) [Tim] (36:48), cut you off there. But, look, we're very encouraged about Florida. And I'll say Orlando itself is up high-single digits. So, the SeaWorld Orlando and Tampa is up about the same. Actually, our lowest percentages are in the Busch Gardens parks, which partly because they were still solid last year, let's admit it, and they're just perennial performers. But the good news is the two SeaWorld-issued parks that we have to turn in 2018 are up solidly and that we have strong product offerings in both markets.
Timothy Andrew Conder - Wells Fargo Securities LLC: Okay. Great. Thank you, gentlemen.
Joel K. Manby - SeaWorld Entertainment, Inc.: Thanks, Barton. Oh, it's Tim. I'm sorry, Tim.
Operator: Our next question comes from James Hardiman of Wedbush Securities. Please go ahead.
Unknown Speaker: Good morning. This is Matthew (37:40) on for James. I've got a couple questions for you. You made a reference that most of the $25 million of gross savings will be deployed towards digital marketing and advertising. So, all in, what do you expect the net savings to be? And then what sort of revenue and EBITDA impact in 2018 do you anticipate from the advertising campaign?
Joel K. Manby - SeaWorld Entertainment, Inc.: Well, Matt (37:59), on the first one, we are not committing to a net figure. We are just saying any increases in advertising will be covered by that. I think it will be more than covered. Certainly, our cost initiatives and the way we think now, we are a continuous improvement organization. We're never done with finding ways to be better. My main point is that we've committed in 2018 our net costs are going to be down another $20 million. We're exceeding that this year. So, regardless of what we spend to drive revenue, we're going to be down $20 million in net costs. Hopefully even more, but that's our commitment to the Street. And then as far as the return on advertising, we aren't going to commit on that. But, obviously, we don't invest in advertising unless we feel, and then after analysis, get a good return on it.
Unknown Speaker: Okay. Thanks. That helps a lot. And then just following up the timing on some of the savings, you mentioned the incremental marketing spend would be front-loaded in 2018. Will there be a lag on the offsetting cost reduction?
Joel K. Manby - SeaWorld Entertainment, Inc.: No. Actually the cost reductions, most of the restructuring was done here in October, and then we're also focusing primarily on the two parks, Orlando and San Diego, from a cost standpoint as well just to match cost with revenue decline, and that's where we focus. So, most of that's already been announced and in place and will start – it has already started and will hit all of 2018. Any other comment?
Marc G. Swanson - SeaWorld Entertainment, Inc.: Yeah. The only – so, as Joel mentioned, the cost of the two, Orlando and San Diego, we've identified those plans and they're operational in nature, line schedules, et cetera, but the big restructuring already has been done. And then, the only other thing I would add is Easter does shift to April 1 next year, so we will have some cost coming into Q1, but obviously the associated revenue with that from kind of the first week of Easter being in Q1, which is – have some cost behind it as well.
Unknown Speaker: Thank you. I appreciate the detail.
Operator: Our next question comes from Chris Prykull of Goldman Sachs. Please go ahead.
Christopher Prykull - Goldman Sachs & Co.: Good morning and thanks for taking my questions. I was just wondering if you could talk a little bit about the 2018 capital program. What are you most excited about, maybe parse how you plan to focus on the destination parks versus the regional ones? And then, any quantification around expected CapEx? I know it might be too early, but maybe just a broader question around CapEx, do you think you need to spend more CapEx to stabilize revenue or is it just more targeted or smarter spend.
Joel K. Manby - SeaWorld Entertainment, Inc.: Overall, for people's planning, we have said – we've brought our annual figure down. Two years ago, it was about $190 million to $200 million. We're now telling people to model $165 million to $175 million and that is to keep a consistent cadence at all of our parks. Big picture, we have accelerated and pulled forward capital into the SeaWorld Parks. So, you can anticipate consistent investments in those parks until we turn around, which we feel we are doing and will do in 2018. What I'm most excited about is Orlando with the Infinity Falls product, very marketable. It's a huge water attraction, which the park doesn't have. It's kind of a bread and butter need in that park, but it has incredible marketing hooks, tallest drop in the world of any family raft ride, level four rapids. So, it's very marketable, very identifiable, people understand it quickly and will be well-marketed nationally. And then in California, Electric Eel, which is a coaster that's still fairly family oriented. It will be very tall and the market will have a lot of presence, and will fill out the Ocean Explorer area that we have there. So, those are the two parks we most want to have impact on, everywhere else, very strong either ride attraction product but also our festivals and our – especially at the Busch Gardens Parks are really increasing our season pass capabilities. Wine and food festivals, our beer festivals, and we're actually bringing that learning into our SeaWorld Parks as well with what we call Seven Seas Food and Wine Festivals, as well as of course our typical Halloween and Christmas. Those are very strong products for season pass marketing. I think that's one reason we're seeing our season pass increases. So, we have one of the best lineups of product next year that we've had. Almost every park has something new to talk about and – so, we're very excited and we're doing it for that $165 million to $175 million range. And with a little accretive revenue growth, we'll be very competitive from a percent of sale standpoint with other competitors.
Christopher Prykull - Goldman Sachs & Co.: Great. Thanks. That's really helpful. One follow up on the cost savings. Where were the positions that were eliminated, are those primarily in the park, at headquarters? And I asked just wondering how you think about the risk of cutting expenses too deep where it impacts the guest experience.
Joel K. Manby - SeaWorld Entertainment, Inc.: Yeah. In general, it was primarily the property support center which – that's our – we feel we are here at corporate to support our properties. That's what we call it. And also at the parks that haven't been most affected by revenue drops. I will tell you though, I'm really proud of our team, and this is an incredible statistic. The way I look at business, any business, is you've got to balance guest scores, employee scores because your employees have to be engaged, they are the ones driving the guest experience on the frontline and then your financial results. And the intersection of those three is the sweet spot of leadership and it's hard to accomplish. Anybody can just cut costs. Anybody can just give too much to employees or guests. But the hard part – and our leaders at our park, our park presidents, we have maintained our guest scores, in fact, increased them at some parks, and none of them have decreased this year in guest experience scores, our employee scores are very solid and yet they're all increasing their cost base or they are all decreasing in their costs and increasing in their margins this year. So, I'm very proud of the team. It's a great question to ask because you have to balance it. I think we've done an incredible job of making some dramatic cuts and still maintaining a very, very strong guest experience. And our Net Promoter Scores are right up there with anybody, Disney, Universal. We have very, very strong guest experience.
Christopher Prykull - Goldman Sachs & Co.: Great. Thanks. That's all for me. Good luck into the fourth quarter.
Joel K. Manby - SeaWorld Entertainment, Inc.: All right. Thanks.
Operator: Our next question comes from Alexia Quadrani of JPMorgan. Please go ahead.
Alexia S. Quadrani - JPMorgan Securities LLC: Hi. Thank you. Just two questions, please? The first one, just a follow-up on your commentary on the advertising and marketing, sort of PR spend. I totally understand, I think you said that it will completely be funded by cost savings, so no incremental overall spending. But can you give us any color in terms of how it looks as sort of your advertising spend as a percentage of sale. How that sales – how that compares to sort of maybe your pass ratio? And maybe how it compares to sort of your peers under this new program? And then just a follow-up question, if I can, on sort of general attendance. Historically, I think SeaWorld has benefited from visitors coming to Disney sort of peeled off and allocate a few days at SeaWorld. Do you know if that mix has changed notably in more recent times?
Joel K. Manby - SeaWorld Entertainment, Inc.: Well, on the first question, we think the advertising, just to give you a feel, about a point more as a percent of sales than last year is what we're – as far as versus 2017, that we're looking at for 2018. And we will more than make up for that in cost cuts. And again, we will monitor every month, and if we're not getting the results we need, we'll adjust accordingly. As for the other question, look we've always had great competitors; Disney, Universal have always been in this market. And what I'm really encouraged by is, again, the people who know us the best, who know Disney, they go to Disney, they go to Universal on a frequent basis, those are the people 300-miles and in. That's where we continue this year and next year, with preseason pass sales, we continue to do well. So, that proves to me that we have a product that can motivate people. And so, advertising, as we talked about, is a key component to attract the domestic guests that way.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Joel Manby for any closing remarks.
Joel K. Manby - SeaWorld Entertainment, Inc.: Well, we appreciate everybody's great questions, your ongoing support. I want to reiterate at the close of this, 2018 we have strong product. We have improved marketing and PR initiatives. We're very enthused and positive about the progress we're making on our pricing opportunities and with our strong cost control. All of those four things added up to me lead to confidence for 2018, and we're very focused on showing the SeaWorld brands all three of the parks growing again and driving shareholder value. So, thank you for your support, for your questions, and have a good rest of the day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.